Operator: Greetings and welcome to the United National Foods Second Quarter Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I would now like to turn the conference over to your host, Miss Halie O'Shea, Director of Investor Relations and Corporate Strategy. Thank you, Miss O'Shea, you may begin.
Halie O'Shea: Thank you. Good afternoon and thank you for joining us on UNFI's second quarter fiscal 2017 earnings conference call. By now you should have received a copy of the earnings release issued this afternoon. This press release and webcast of today's call are available under the Investors section of the Company's website at www.unfi.com. On the call today are Steve Spinner, Chairman and CEO; Sean Griffin, Chief Operating Officer; and Mike Zechmeister, Chief Financial Officer. Before we begin, we'd like to remind everyone that comments made by management during today's call may contain forward-looking statements. These forward-looking statements assess plans, expectations, estimates and projections that might involve significant risks and uncertainties. These risks are discussed in our earnings release and SEC filings. Actual results may differ materially from the results discussed in these forward-looking statements. In addition, in today's earnings release and during the call, management will provide GAAP and non-GAAP financial measures. These non-GAAP financial measures include adjusted net sales, adjusted net income, adjusted earnings per diluted share, EBITDA, EBITDA as a percentage of net sales, debt-to-EBITDA and free cash flow. For a reconciliation to the most directly comparable GAAP measures, please see our earnings release or visit our website. I'd now like to turn the call over to Steve Spinner.
Steven Spinner: Thank you, Halie, good afternoon everyone. Today we’ll provide a brief overview of our second quarter fiscal 2017 and an update on our strategic initiatives. If we turn towards the back half of our year, our strategy remains strong. Building out the store for UNFI and our constituents remains at the forefront of our strategic growth strategy and it is taking shape as we move towards 2018. Additionally, the investments we’ve made and the infrastructure systems and people have also begun to bear fruit which I’ll discuss in a moment. We live in an interesting, challenging and exciting retail food environment. Because of our strategy, commitment to execution and projects now coming to life, UNFI continued to be well positioned as the leader in the “Better for You” [ph] and specialty foods merchandising and distribution industry for the long-term. I am pleased with our second quarter execution. With the hard work and contributions of all of our associates, we have made great progress on our strategic objectives. During the quarter, we great net income 12.3% and grew EBITDA 16.7% compared with the prior year’s second quarter. Additionally, we achieved free cash flow of nearly $91 million in a period where sales grew more than 11% which is the result of strong asset management. I’m also very pleased with our working capital management in the quarter. As an example, from a supply chain perspective, the technology we implemented several years ago is now driving strong improvements and more effectively managing our inventory days on hand while driving up service levels to our customers. During the quarter, our sales grew over 11% with a very strong fill rate to our customers, while inventory only grew 6%. In addition, our broad line business which is our core centre store distribution business performed quite well. Organic sales growth in our broadline business was up approximately 5% and this was the quarter when our center store business had almost no deflation compared to our prior year period where we had inflation of more than 2% or negative variance of approximately $50 million in the quarter. We accomplished these financial results in spite of ongoing industry headwinds as we and our retail partners continue to operate in a highly competitive and deflationary environment. In the face of the challenges, we are even more resolute in the importance of our building our store strategy and the need for a robust and differentiated product and service offering for our retail customers. During the quarter we continued to make great strides in selling existing customers a broader array of our products. Our one sales team across the U.S. is working and I’ll touch on that more in a moment. Our recent acquisitions have helped us further build out our products and services. We are able to better leverage these new and enhanced offerings with the strength of our national distribution network, our one sales team initiative, our work with UNFI Next and our e-commerce platform which delivered over $60 million of revenue during the quarter. We continue to gain traction in the second quarter as we further integrated our acquisitions. We are excited about the opportunities we have for growth and greater efficiencies ahead. For instance, we are rolling out Haddon House product offerings across our legacy DCs and further deploying our new full-service model. We brought Haddon Products to the Metro Chicago land area approximately 10 months ago, within that time we have seen a doubling of Haddon House sales in that market. Our recent acquisitions of Nor-Cal Produce, Global Organic and Gourmet Guru also provide an opportunity for us to expand our product offerings and gain additional learning with new and existing retail partners in a broadened in-store service environment. We are also seeing leverage from one sales team initiative, which began in August at the start of our fiscal year. It was designed to create a more unified approach across our product and service offering by creating a single point of contact to service our customers needs. This cross functional initiative is enabling cross-selling opportunities as our full sales force is now selling across all of UNFIs products and categories. And we appreciate the efforts of our sales team and are encouraged by the early results and learnings. We are now a one sales force company across the country representing all of our diverse product offerings. We are also excited about UNFI Next, our programs for finding an on-boarding new and emerging brands. It is a great opportunity for UNFI to work with newer brands and support them as they grow. This enables us to build and extend our pipeline as fast growing and exciting brands that we offer our retail customers. The enhanced offering also fits well with our online efforts whether we are working with a large e-commerce retailer or helping our brick-and-mortar food retailer with its online initiatives. We believe this is an attractive opportunity as we are able to help our retail customers by offering an endless isle of products across many different product categories. And we continue to invest in our national e-commerce platform across the U.S. And while we are encouraged by these initiatives, we also have to acknowledge the ongoing challenges facing our industry. Our customers are facing a difficult retail environment due to deflation and increased competition. We view deflation as cyclical, inflation will come back at some point but while it’s here, it’s leading to some very real challenges for us and our retail customers. Many of our broadline customer contracts are on a cost plus basis, so when we have less inflation or deflation, the gross profit dollars we generate for case is lower. In the second quarter, we experienced about 30 basis points of deflation which is down about 245 basis point from approximately 2.15% in the year ago second quarter. And we face the greatest inflation in produce. Although we ship more produce cases in the quarter, pricing, and therefore, gross profit per case was lower pressuring our earnings in our produce business. During the quarter, produce deflation continued to escalate versus our first quarter by several hundred basis points. In the face of these industry headwinds, we also look internally for greater efficiency. And as part of these efforts, UNFI is announcing a restructuring program primarily related to severance and other employee separation costs in conjunction with the opening of a shared services center, previously announced acquisitions, as well as other workforce reduction. These initiatives are part of the company’s ongoing efforts to improve internal operations, generate cost savings and enhance the customers experience from suppliers to retailers. As part of the restructuring program, we expect to incur charges of between $3.5 million and $4 million before taxes, and Mike will discuss our guidance and how we expect the restructuring to impact our outlook for the balance of the fiscal year. We believe our outlook incorporates the ongoing industry challenges, including heightened competition and little to no meaningful improvement in inflation. But at the same time, it reflects our continued commitment and confidence in our strategic initiatives, strength in our new customer pipeline and growth opportunities with our retail partners. In summary, we believe our differentiated product offerings, our recent acquisitions, our reorganized sales force and our strong balance sheet will provide long-term growth opportunities that enable us to achieve our strategic objective while providing a differentiated and unique service platform for our customers. Now I’ll turn the call over to Mike to provide some additional financial details. Mike?
Michael Zechmeister: Thanks, Steve and good evening. Net sales for the second quarter of fiscal 2017 were $2.29 billion, which represents growth of 11.6% or approximately $238 million over the second quarter of last year. Regarding the impact of recent acquisitions on our financial results, keep in mind that as the company has made progress integrating the acquisitions of Global Organic, Nor-Cal, Haddon House and Gourmet Guru into existing operations, the financial results are no longer completely separable. As Steve mentioned, in the second quarter of fiscal 2017 we experienced deflation of approximately 30 basis points, which was a slight reduction to where we finished in Q1 of this year and a significant reduction to the 2.15% of inflation that we experienced in Q2 of last fiscal year. Our Q2 deflation issue was comprised of modest inflation across the center of the store categories combined with deflation in the perimeter categories such as produce, protein and cheese. From a channel perspective, supernatural’s net sales were up approximately 3.5% over last year’s second quarter and represented 34.2% of total net sales, which was a 270 basis point reduction in net sales concentration versus second quarter of fiscal 2016. Supermarket channel net sales increased 26.2% in the second quarter versus Q2 last year and landed at 29.1% of total net sales. Supermarkets concentration was up 336 basis points versus 25.8% in second quarter of last year. The independent channel grew 9.6% in the second quarter versus last year, and represented 26.4% total net sales in the quarter. Finally, full-service net sales were up 5.1% over second quarter last year and e-commerce increased approximately 15.4% versus last year. Neither food service nor e-commerce was significantly impacted by recent acquisitions. Gross margin for the quarter came in at 15.09% a 56 basis point improvement over last year second quarter. The increase was driven by acquisitions and margin improvement initiatives and partially offset by continued competitive pricing pressure. In recent quarters, we have experienced reduced vendor promotion support, which has been a headwind to our gross margin. In the second quarter, we saw a sequential improvement in vendor promotion support versus Q1 and while the support we saw in Q2 was not back to historic levels, it was not a headwind versus Q2 last year. Our operating expenses for the quarter were 13.07% of net sales a 58 basis point increase compared to the second quarter of last fiscal year. The year-over-year increase was primarily driven by increased expenses from acquired businesses which have higher cost to serve the customers. Additionally, we incurred additional expense related to depreciation and amortization and stock-based compensation. Offsetting the impact of these year-over-year increases was a 3.0 million non-recurring acquisition, severance and other transition related costs recorded in second quarter of last fiscal year. Fuel cost for Q2 of fiscal 2017 decreased 5 basis points as a percent of distribution net sales compared the second quarter of fiscal 2016, and [Indiscernible] 42 basis points of distribution net sales. The Department of Energy’s national average price per gallon for diesel in Q2 increased 9% or $0.20 a gallon, compared to the second quarter of last year. In contrast, our diesel fuel cost per gallon decreased approximately 9.2% when compared to the second quarter last year. Our decrease was primarily due to unfavorable fuel price locks in Q2 of last fiscal year. Sequentially, the Department of Energy’s national average price per gallon for diesel in Q2 of fiscal 2017 was up 4.5% versus Q1 of this fiscal year. However, our total fuel cost in the second quarter were down one basis point as a percent of distribution net sales primarily due to the unfavorable fuel price locks in the first quarter of the fiscal year. Share-based compensation expense represented 32 basis points of net sales in Q2 compared to 17 basis points in the second quarter of last year. On a dollar basis share-based compensation expense was up $3.9 million to $7.4 million compared to the same period last year. Operating income for the second quarter was $46.3 million an increase of $4.6 million from the same period last year. EBITDA for the second quarter was $67.5 million and as Steve mentioned an increase of 16.7% from the $57.8 billion in the same period last year. EBITDA margin was 2.95% of net sales, up 13 basis points from Q2 last year. Interest expense in Q2 of $4.4 million was 800,000 higher than Q2 of last year due to additional debt resulting from our recent acquisitions. The Q2 average interest rate of 3.07% on outstanding debt was 21 basis points lower than Q2 last year. For the second quarter of fiscal 2017, the company reported net income of $25.5 million, an increase of approximately $2.8 million over second quarter of last year. EPS was $0.50 per diluted share into Q2, an increase of 11.5% over Q2 last fiscal year. Total working capital at the end of Q2 was $1.0 billion up 4.2% versus Q2 of last year, compared to net sales growth of 11.6% over the same period. The working capital favorability was due to targeted initiatives those days of inventory outstanding, day’s sales outstanding and day’s payables outstanding. In the second quarter, our capital expenditures landed at approximately $13.5 billion or 6/10 of a percent of net sales, which was equal to the 6/10 of a net -- percent of net sales in the second quarter of last year. We had free cash flow $90.7 million in the second quarter of fiscal 2017 compared to $106.2 million in the year ago period. Our Q2 free cash flow represented our second-highest quarter in the company history only trailing last year’s second quarter results. As a result of our Q2 free cash flow, we are raising our guidance for the year and I’ll provide more detail around that in a few minutes. Our debt-to-EBTIDA leverage at the end of second quarter was 1.82 times. Leverage is down from 1.99 times at the end of first quarter of fiscal 2017, driven primarily by the working capital improvements. Outstanding lender commitments under our credit facility were $850 million excluding reserves at the end of the quarter, with available liquidity of approximately $449 million, including cash and cash equivalents. Our available liquidity increased 60% or $168 million versus the second quarter of last year. Before we discussed guidance I’d like to provide more color on the restructuring program we announced today. In the second half of fiscal 2017, UNFI expects to record restructuring charges of between $3.5 and $4.0 million before taxes primarily related to expenses for severance and other employee separation costs. In connection with the initiative, the company estimates the elimination or relocation of approximately 265 positions under a plan that will be largely completed in Q3 of fiscal 2017 with certain shared service related transitions extending into the second quarter of fiscal 2008. We believe these actions will result in overall expense reductions in the coming year and allow the company operate more efficiently and effectively. As discussed in today’s press release, we are updating the fiscal 2017 guidance that we provided on December 7, 2016. Based on our performance to date, and our outlook for the balance of the fiscal year, including the impact of the restructuring program. For our fiscal year-end July 29, 2017 the company expects net sales in the range of $9.38 billion to $9.46 billion an increase of 10.7% to 11.7% over fiscal 2016. The Company expects GAAP earnings per diluted share for 2017 in the range of approximately $2.49 to $2.54 compared to fiscal 2016 GAAP earnings per share of $2.50. Adjusting for costs related to the aforementioned restructuring plan of between $3.5 million and $4.0 million adjusted earnings per diluted share for fiscal 2017 is estimated to be in the range of $2.53 to $2.58 compared to the fiscal 2016 adjusted earnings per diluted share of $2.59. Capital expenditures for fiscal 2017 are expected to be approximately 0.5% to 0.6% of estimated fiscal 2017 net sales. We expect free cash flow to be in the range of $150 million to $175 million and finally, the company expects fiscal 2017 tax rate to be in the range of 39.7% to 40.1%. At this point, I’ll turn the call over to the operator to begin the question and answer session. Operator?
Operator: Thank you. At this time, I'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from John Heinbockel from Guggenheim Securities. Please proceed with your question.
Steven Forbes: Good evening. It’s actually Steven Forbes on for John today.
Steven Spinner: Hi, Steve.
Steven Forbes: So given the -- where you think like the last call when you called out the $100 million in new customer contracts and just a general optimism right as it relates to the sales team initiatives you have the one sales team initiative, is there a specific driver of the updated topline guidance, I know it’s modest but is there a particular categories of lower inflation maybe you can update on your inflation outlook, any color will be helpful?
Steven Spinner: Yes, I mean I wish we could be more optimistic on the fact of the deflation which obviously is a big headwind of topline growth, but Steve we – like I said in the comments we feel really good about not only the pipeline for new customers which is going to come on in the back half of the year but the work that our one sales team is doing is uncovering loss are really interesting opportunities for us, but unfortunately we are at a time right now where just the magnitude of the deflation across broadline and primarily in produce is having a fairly meaningful impact in our topline.
Michael Zechmeister: Yes and Steve, this is Mike. You asked a little bit about forward looking. It’s often difficult to forecast where deflation or inflation is going, but we would say the outlook for the remainder of the year would be in the range of minus 0.5% to plus 0.5% which is down about 25 basis points from where we were thinking last quarter.
Steven Forbes: And then just a quick follow up on the restructuring program. I'm not sure how much color you want to provide, but maybe what's really happening or what are you moving around, if you can comment? And if not, maybe just as we think about the benefits of it flowing through, is it fair to think that they should come relatively quickly in the first half of 2018 or is it a longer tailwind, the recognition of the benefits?
Steven Spinner: Yes, so it’s primarily in the migration to a national shared services center that we announced a couple of weeks ago as well as the – as we integrate some of the acquisitions into our systems. I would say that’s the majority of where the restructuring is coming from. So severance related. As far as where we see the benefit, whether it’s in 2017 or 2018 I’ll defer it to Mike to give you some color on that.
Michael Zechmeister: Yes so the expense that we announced the $3.5 million to $4 million is largely offset in the fiscal year which means the primary benefits will come in fiscal 2018.
Steven Forbes: Thank you.
Operator: Our next question comes from Eric Larson of Buckingham Research. Please proceed with your question.
Eric Larson: Yes, good afternoon, everyone. Just to push back a little bit on the deflationary front. Obviously produce is something that when you get inflation, it rectifies relatively quickly because it's a short cycle crop and we're continuing to see this continue on throughout the industry. So I'm assuming this is really from a competitive industry point of view of all the retailers trying to more competitive on produce. And if that is the case Steve where do we sit with that cycling through the entire system? Are we in the third inning of it in fifth inning, or later innings?
Steven Spinner: Well Eric, the issue that we have and it is cyclical. I mean obviously it is not going to last forever is that the produce deflation got worse in the second quarter than it was in the first. And so, in the produce world, as the product deflates we still incur the same amount of cost to get the products from the DCs into the retailers. Yes, we have considerably less gross margin to cover the cost. And so, it is a short term issue, and misery loves company; everybody has got the same problem. As far as when it’s going to cycle through, your guess is as good as mine, the only thing I would say is we have a high degree of confidence that is not going to be forever, it will turn but we are just not sure when.
Eric Larson: Okay. Then just one other quick follow up question. Your organic growth in the quarter of 5% which you kind of termed Steve broadlined it, it kind of sounds like our performance food group days, would you just help and that’s actually deflation included in that, that’s a pretty solid organic growth rate, so when you talk about broadline, would you just give us what you put into all of that broadline distribution and then percent of sales that you call broadline?
Steven Spinner: Yes so broadline is our primary center store distribution business. It doesn’t include our produce; it doesn’t include our Tony’s business or our fresh business. It doesn’t include our produce business; it’s the vast majority of what we do. I think do we disclose the total, I don’t think we disclose the total, but it’s the vast majority of our company.
Eric Larson: Okay, thanks Steve, thanks everyone.
Operator: Our next question comes from Stephen Tanal of Goldman Sachs. Please proceed with your question.
Stephen Tanal: Hey good afternoon guys. Thanks for taking my question.
Steven Spinner: Sure
Stephen Tanal: Just, I wondered if you could just on produce deflation and maybe broadline Steve you mentioned there was deflation there too, would you be willing to quantify kind of what you are seeing by category specifically produce and then maybe broadlines too.
Steven Spinner: Yes, we’re not going to get into the detail of the categories. I think there the consolidation numbers is what we are comfortable sharing.
Michael Zechmeister: Yes, and Steve I’ll just clarify there too. You made a comment that the center store was deflation would – actually the center of the store categories were inflationary, we had modest inflation there. It was just more than offset by the higher level of deflation across the perimeter of categories protein
Steven Spinner: I think it was 30, 30 basis points of inflation in this....
Michael Zechmeister: 30 is the deflation. Yes, right, got it.
Stephen Tanal: Got it. Okay, that’s helpful. And then just thinking about gross margin, really nice number obviously I think the job there it is – I was wondering if you could kind of give us a flavor for what the acquisitions versus the improvement initiative you framed versus the competitive pressure like at least relative maybe the one or another as you think about the model here.
Steven Spinner: Yes, I mean the lion’s share of the margin where a lot of the margin improvement was related to the acquisitions. We did have some modest improvement in our broadlines as well.
Michael Zechmeister: Yes but the margin initiatives also played a role in achieving that number, where as if you go back to last quarter we said that the acquisitions contributed more on their own in terms of margin enhancements.
Steven Spinner: Yes, I also like to add that as we reorganized our P&L of leadership to three regions within UNFI and I would say that as it relates to margin and business institutions and a level of accountability our region Presidents are really doing a wonderful job and I think it’s beginning to print.
Stephen Tanal: Got it. Okay, and then just last one from me, just on fuel, are you guys still locked at this point or what’s the outlook there? Are you locked favorable versus spot or how are you thinking about that going into the third quarter?
Steven Spinner: Historically and as I alluded to we’ve had fuel locks that were quite a bit above market which created this headwind on fuel. That headwind is now largely behind us. We still do have a sum of fuel price locks but they are much closer to current market which it doesn’t pose a tailwind or a headwind at this point.
Stephen Tanal: Got it. Okay, thanks.
Steven Spinner: Thank you.
Operator: Our next question comes from Scott Mushkin of Wolfe Research. Please proceed with your question.
Scott Mushkin: Hey guys thanks for taking my questions. So I was wondering as you think I mean obviously during the restructuring but as you think about your retail partners, seeing the challenges there are and the prep that you guys are looking to and they when we saw one of them actually closed the store, we have further slowdown in store growth maybe in that closure, so how did you think about store business in that context and what else you guys may need to do or may not need to do, in the current trend in here.
Steven Spinner: Yes, Scott, so I think what we got right I think we talked about this before is the whole notion that we needed to reorganize the company into one sale force. We also recognized that in order to continue to grow strategically we were going to need to get to be a much bigger player imperishable because perishable was going to grow at a much faster rate than center store. And so we built the infrastructure, we built the refrigerated DCs with multi temperature and the fleet and the food safety and then we reorganized the sales force so that our sales force sells across produce and fresh and vitamin supplements and personal care and center store and specialty. And so now we really are in a terrific position to sell more to our existing customers which is the most efficient way and most profitable way for us to grow and we can use the new sales force to enter new customers not necessarily large customers but smaller regional customers to sell them categories of product that we were never able to sell them before. And so I guess the long answer is that our building out the store platform is what’s going to enable us to continue to grow the business despite kind of these headwinds that our retailers or suppliers and us are facing.
Scott Mushkin: So just a couple -- want to follow up with that but also ask -- I have two more things here, and one's more of a follow up. If you look at the deflation, I know you guys talked about that and we've done some research around what's going on in organic. But organics look like they could actually be deflationary for some time. The thought process is we look at the planting in the US, so many people have gone over to organic, because obviously the farmers haven't been doing well, that it may put downward pressure on products for a while, as all this -- as all these deals come on. I'm wondering if you guys have a thought process if we're going to see a narrowing of the gap between organic and traditional products and what that might do to your business as we move forward. And do you agree with it? I have one more
Steven Spinner: I probably need to think about that Scott. My gut reaction is that gross is good. And that if the price point between organic is closer to the price of conventional it’s going to bring more people into the space. It’s going to make the product more affordable and in the end that’s going to be a stimulus for growth for us. So that would be my first reaction, but I really need to spend a little bit more time thinking about it certainly as it relates to the complexicities of the inputs. The products that are required on the production side we make them happen.
Scott Mushkin: Alright, then my final one is a follow-up from the first one. You guys have obviously been very inquisitive and it's helped your business quite a bit weather the storm. Is that something that needs to be turned on even more as we look over the next year or two, and maybe even think about bigger mergers as the industry changes so rapidly? Thank you for taking my questions.
Steven Spinner: Yes, we did four in about a year. And so we are going to take a little bit of a breather. We are in the midst of integrating Haddon House, we are just about complete. And that can be listed. And so, we’ve gotten pretty good at finding the right acquisitions, paying off their price and integrating them. And so, we are going to continue to do that. We’re just going to do it in their time line that works. We just need to take a little bit of a breather. Now on the other hand and in the way some acquisitions work you either participate or you don’t and if you don’t you lose it forever, but I don’t see that as being an issue for us right now, because for many other companies whether you acquire or are choice and so M&A will continue to play a major role in our long term growth.
Michael Zechmeister: Scott, I just like to add that from an integration perspective sort of giving the team some kudos here that we will complete the integration of the second patent house distribution center and all majority here coming up this weekend which effectively puts us inside of 10 months to integrate this business here which from a UNFI perspective is quite an accomplishment.
Scott Mushkin: That’s great. All right guys thanks so much. See you Friday.
Steven Spinner: Thanks Scott.
Operator: Our next question comes from Rupesh Parikh of Oppenheimer. Please proceed with your question.
Rupesh Parikh: Thanks for taking my question. So I want to start first with a housekeeping question. Is there any more color you can provide in terms of the savings as those deals with restructuring program?
Michael Zechmeister: Yes, Rupesh this is Mike. What we kind of said there we got 3.5 million to 4 million that we were expecting in this year. And as I kind of indicated we expect to offset those costs in the fiscal year and on certainly the annualized impact will be greater than the partial year that we are in. So the – realized savings on an annual basis will fall primarily into fiscal 2018.
Rupesh Parikh: Okay, great. And Steve, maybe a question for you. As we all look at the environment out there, clearly the retailers continue to struggle and you continue to hear more and more, everyone focus on their fresh side of their business. So I was just curious, as you guys look at everything that you've done, we see with all the acquisitions, are you getting more interest from – clearly the acquisitions were aimed for I think, the independent channel. But do you think your model now can help you win more business, or new players in conventional or even the mass channel?
Steven Spinner: Oh yes, without a doubt Rupesh. We – some of the fresh wins that we’ve had are in nice multi unit in chains. And so a big part of our strategy is to put that fresh product into all the channels of our business. Now whether it be conventional or multi unit independent or independent because it works slow on every one of the channels.
Rupesh Parikh: Okay, great, and then one more question for me. At the Cagney conference this year, there was a number of the larger CPG players were talking about more and more about natural organic. And this year, there seemed to be more of a focus of introducing new natural, organic product line versus just reformulating existing product line. I was just curious, are you guys starting to carry more and more products or are some of these new products from larger CPG players?
Steven Spinner: Yes where it makes sense, sure we have obviously extensive programs with all of the CPG companies. I would tell you that we spent a lot more time thinking about UNFI Next and the resources that we put into finding the new and emerging suppliers with really differentiated products because those are typically the products that make a big difference to our retailers and those are the products that the retailers need for their own extensive differentiation. Our – Whereas on the CPG side, we are going to carry it, so is everybody else.
Michael Zechmeister: With respect to Next, there is a greater emphasis on the local and regional brands versus National.
Rupesh Parikh: Okay. Great, thank you.
Operator: Our next question comes from Chuck Cerankosky of Northcoast Research. Please proceed with your question.
Chuck Cerankosky: Good evening everyone. When you look at this deflationary environment I heard what you said a few minutes ago about acquisitions, but does this put pressure on some product categories in companies where the deflation is most focused, giving you some windows here to make some acquisitions?
Steven Spinner: Without a doubt deflation would have the impact on certain types of sellers. So my guess is that they – most of them would probably elect to wait until inflation returns.
Chuck Cerankosky: Okay, I was thinking it might be putting pressure on their ability to stay in the game, and they'd look for it somewhere else. You're suggesting they have the where with all to wait.
Steven Spinner: Yes I mean that’s true. I think the challenge for us is we typically don’t like to acquire turnarounds or companies that are financially troubled. We’d rather pay a fair price for a company that’s doing well than a very inexpensive price for a company that’s not doing well. Now the exception to that might be a company that’s recently struggling, that’s small that we can close and put into one of our existing distribution centers but generally we would acquire the healthy companies first.
Chuck Cerankosky: All right. Thank you very much.
Operator: Our next question comes from Zach Fadem of Wells Fargo Securities. Please proceed with your question.
Zach Fadem: Hey good afternoon, a couple of questions. First to follow up a little bit on the topic of CPG. With some of the larger companies moving away from direct to store distribution, can you talk us through just potential impacts to your business with respect to industry pricing, as well as any potential opportunities to expand your service offerings there?
Steven Spinner: Yes I mean we through the Haddon House acquisition and the Gourmet Guru Acquisition now have significant in store field sales and merchandising team. And so as the largest distributor in the country we are going with a vast majority of the retailers already. And so for those suppliers or those manufacturers that want to have a DST in store merchandising program I can’t think of anybody better to do that than UNFI.
Zach Fadem: Okay, and on the competitive landscape, just relative to the conventional grocery distributors out there, has there been any change in the competitive environment as far as their ability to offer more natural and organic products versus in the past? Are they going off after the local opportunity? And are you seeing anything from them in terms of pricing when you're out bidding for new contracts?
Steven Spinner: Not really. You have to keep in mind that the models are so completely different. The conventional model is predicated on delivering a full truck of conventional products with some natural organic into a conventional retailer and obviously the price dynamics to do that are much different than the price dynamic of delivering three pallets to a store. When you look at UNFIs infrastructure, our infrastructure is built around providing a great deal of service whether its category management, retail category management, instore service and these are all things that generally speaking the conventional distributors just don’t have. Their programs are typically a drop and go drainage [ph] type of situation which is very different than us. But we certainly do loose a excuse that may become faster moving to the conventional distributors, no different than when we SKUs to a captive distribution.
Zach Fadem: Okay, and lastly, any update on your efforts to pursue customers in the mass and super-store channels? Would you say that's still a focus?
Steven Spinner: We’d love to; unfortunately we don’t have any anything to talk about.
Zach Fadem: Got it. Okay, thanks a lot guys.
Operator: Our next question comes from Karen Short of Barclays. Please proceed with your question.
Ryan Gilligan: Hi, it's actually Ryan Gilligan on for Karen. Just starting with two quick housekeeping questions. Can you talk about what is driving the lower CapEx guidance? And then also, what are the tax benefits, if any, that you're expecting from the new shared services center?
Steven Spinner: Yes sure Ryan. On the CapEx if you recall back to last year, our CapEx spend as a percent of net sales was 0.49% as we’ve been going through this year we’ve got discipline on our CapEx spend. We’ve put scrutiny in there, we’re definitely interested in high return projects, no question about it. But the guidance that we gave, there’s a reflection of where we’ve been so far year-to-date on CapEx which is more similar to where we were last year, but also mindful of the spends that we’ve got here coming in the second half.
Ryan Gilligan: Got it, and then and on any tax benefits you might get from the new shared services center?
Steven Spinner: Yes we were not getting into that level of detail, what I’ll tell you about the shared service centers, very excited about it. We think it’s going to have a great benefit to us both on the effectiveness side and on the efficiency side. The project has got great return, while it’s somewhat of a new frontier for UNFI its obviously not in the broader business world, there’s quite a bit of precedent out there about how to get this done and get it done right and so we are excited to be on that journey and getting started now.
Ryan Gilligan: Got it, that's helpful. And then, I guess on e-commerce it's obviously an area of opportunity. Can you talk about how you can accelerate revenue growth there and in a more meaningful way, given that you can't sell direct to consumer, since that could strain your relationship with your retail customers?
Steven Spinner: Yes actually you are right in that we can’t sell direct to consumers as UNFI one of our fastest growing platforms to sell direct to consumers on behalf of our retailers. So essentially becoming the endless aisle for a retail partner where they are looking to expand their product offering to their consumers, we are doing that today, it’s just the consumer doesn’t know that we exist. We’re just doing the back-of-the-house fulfillment. We have a network of e-commerce fulfillment centers across the country. We’re adding to it, so that we get it to our customers in the most efficient and cost-effective manner. So we’re investing in e-commerce’s platform and we certainly spend a lot of time with some of the larger e-commerce providers to ensure that we have – we’re have were giving them access to all of the fresh and vitamin supplements in center store gluten-free organic et cetera as we possibly can. It’s an area that we’re giving a great deal of focus to.
Ryan Gilligan: That’s helpful. Thanks.
Operator: Our next question comes from Kelly Bania of BMO Capital Markets. Please proceed with your questions.
Kelly Bania: Hi. Good evening. Thanks for taking my questions. Wanted to ask also about the mass channel opportunity, as you kind of look to expand that, I guess, are you finding any structural challenges with that channel, with mass or drug, be it would be cost prohibitiveness or is there just a lack of interest? Any color you can provide on that opportunity.
Steven Spinner: Yes. There’s actually no structural barrier whatsoever. It’s taken some time to figure out how they go to market. What they want to see from UNFI, but think about that, we’re buying in that largest bracket across the country in the vast majority of all of the products that mass and drug need to have in the store. And so from a logistics and supply chain perspective we can get it either directly to their store or to their distribution center more efficiently than they can do it themselves to a large degree. And so I think it's just a matter of us understanding the model and convincing them that it makes sense to do it. But we’re again, like e-commerce, we’re spending a lot of time and effort to make that a priority.
Michael Zechmeister: I would say that the cycle to close in mass and drug is a longer runway. So we’re learning our way through that.
Kelly Bania: Thanks. That’s helpful. And then also just wanted to ask, your biggest customers accelerating their efforts toward category management, and I was just wondering if there is any impact that would have on you positive, negative, neutral or otherwise?
Steven Spinner: Yes. So I wouldn't comment on any individual customer, but Mike can tell you that our customers generally that goes through a category management review process, a planogram review process, that is extremely beneficial to both suppliers and to distributor. It just focuses a greater attention on having the right SKUs in the right place, in the right ZIP code 52 weeks a year. So, our general experience with our customers who go through that is beneficial to both the distributor and the supplier.
Kelly Bania: Thanks. And then just if I can squeeze in one more last housekeeping one. On the gross margin you mentioned some of the margin improvement initiatives. Can you just elaborate on what those are you expected to kind of continue in the next couple of quarters? And is there anything that we should be thinking about in terms of fuel surcharges with respect to gross margin?
Sean Griffin: Yes. Kelly, I’ll handle, this is Sean, the first half of the question and then kick it to Mike on fuel. As I previously mentioned in our reorganizing our business into three regions under the leadership of region presidents with P&L responsibility, we have seen many benefits, the level of accountability that is brought to the business, the decision making around investing in either price and/or service are reaping rewards. So, from a sustainability perspective we certainly do believe it is sustainable. One of the things that we certainly have spend a lot of time in getting to is sort of pivoting incentive for our sales organization from top-line sales only to gross margin dollars improvement on a year-over-year basis. So, we’ve got up turned-on sales organization that understands the benefit of selling gross margin and frankly they are now aligned to the financials of our company’s performance, so it’s working -- it’s early, but it certainly it’s working.
Steven Spinner: Yes. Kelly, I’ll add to what Sean saying there too, everything is a variety of initiatives and they really span across cost control and then transactional relationship initiatives with both customers and suppliers. Another part of your question was on fuel surcharge going forward, and of course that is directly tied to our forecast that where diesel fuel would be the remainder of the year and we're not forecasting any significant changes from current market as we look at the remainder of year.
Kelly Bania: Thanks.
Operator: Our next question comes from Marissa Sullivan of Bank of America/Merrill Lynch. Please proceed with your questions.
Marissa Sullivan: Thanks for taking my question. On Haddon House, you mentioned that you've expanded into other DCs. Can you just give us an update on how many DCs currently carry the products and what -- how many are left for the rollout?
Steven Spinner: Yes. We talk about that and that’s a competitive question and so we’re not going to disclose which DCs have it, which ones don’t, but we’re really happy with the results that we’ve seen from the integration thus far.
Marissa Sullivan: But would you expect that to continue to be a driver to sales growth going forward, but you said, there's more runway than there is…?
Steven Spinner: Absolutely, we’re still in the early inning.
Marissa Sullivan: Got it. And then I just had a quick housekeeping question for you. The 26.2% sales growth in the supermarket channel, can you confirm that that excludes the impact of customer losses and acquisitions?
Michael Zechmeister: Marissa, this is Mike. We have now lapped the previously disclosed customer contract termination. That happened in the middle of our first quarter. So, second quarter was clean quarter, no contract termination impact on growth there. And of course that large 26.2% growth number was driven by acquisitions primarily.
Marissa Sullivan: Got it. And are you disclosing the growth ex acquisitions?
Michael Zechmeister: Yes. We’d loved to be able to do that, but as we kind of talked about, as we move through the year here we’re getting more and more integrated in terms of the acquisitions that we’ve done in cross-pollination of selling in products and warehouse, make it impossible for us to get an accurate picture of what the acquisition impact is. So, as we think more broadly about it just to provide a little bit of color. I don't think it's much different in Q2 than what be characterized in Q1 of this year which was an 8% contribution from acquisitions.
Marissa Sullivan: Got it. And then just lastly, on that 5% organic growth, does that -- or 8% contribution from acquisitions, does that include Global Organic and the produce or is it -- does that exclude it?
Steven Spinner: Yes. Similar to the way we talked about in Q1, when we purchased global we integrated them fully right away. So, the ability to separate those financial results became impossible relatively quickly. So as I characterize Q2 being comparable to Q1 that Q1 number excluded the impact of global, so with the 8% number.
Marissa Sullivan: Perfect. Thank you so much.
Steven Spinner: Yes. And that 8% of course applies to net sales.
Marissa Sullivan: Great. Thanks.
Operator: Ladies and gentlemen, we have reached the end of our question and answer session. I would like to turn the call back over to management for closing remarks.
Steven Spinner: Thank you for joining us on our call this afternoon. We are having an Investor Presentation at Expo this coming Friday. If you're interested please contact Halie O'Shea. We hope to see you later this week at the Natural Product Expo. Have a great day.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.